Julia Massies: Good morning, ladies and gentlemen, and welcome to Pernod Ricard's Fiscal 2021 Sales and Results Presentation. We're hosted this morning by Alexandre Ricard, our Chairman and CEO, and Hélène de Tissot, our EVP, Finance, IT and Operations. We will follow our usual format and take you through a brief presentation and turn to your questions. Thank you very much. Without further ado, over to you Alexandre.
Alexandre Ricard: Thank you very much, Julia and good morning to all and I do hope you had a wonderful summer as I did. So may I suggest we start directly with the executive summary. Well, listenexcellent rebound with our sales and profit from recurring operations above pre-crisis with 10% organic growth of our top line and 18% organic growth from our profit from recurring operations pre-COVID crisis levels at constant currency of course and strong growth momentum. So the growth is very diversified with all regions growing. Our domestic Must-wins, two of them have reached record sales; the first one being the U.S. with 16% organic growth and reaching the milestone of $2 billion of net sales and the second one, which is China with a whopping growth of 44% as well hitting an important milestone which is above the billion euro of net sales. Significant premiumisation, of course thanks to our Strategic International Brands, they have grown double-digits and our Specialty Brands portfolio, which has grown significantly by almost 30%. And we have gained share in most markets across the world. Our transformation is clearly under way. We are continuing to deploy our Transform and Accelerate strategic roadmap. Significant investment behind our priority brands and markets, and I would call this dynamic management of our resources, strong progress in our digital transformation which is in fact accelerating with an outstanding growth for our e-commerce channel which grew by 63%, and that growth is widely spread. And finally, acceleration of our sustainability and responsibility roadmap, I'll come back to that. So excellent performance with very active resource management and achieving significant operating leverage of 213 basis points. Outstanding cash performance reaching a record high level for our free cash flow and free cash flow as well as recurring operations, which has driven our net debt-to-EBITDA ratio to 2.6 times, and therefore leading to an increased shareholder returns with proposed dividend back to pre-crisis levels of €3.12 which was a historical high in fiscal year 2019, and as well the resumption -- proposed resumption of our share buyback. So here you have the numbers. I won't dwell upon them. I already mentioned most of them. Just to mention the significant adverse FX impact of slightly more than €0.5 billion on our net sales and €253 million on profit from recurring operations. As I mentioned in the executive summary, acceleration of our sustainability and responsibility roadmap, there are two things we clearly accelerated during this COVID crisis and with clear purpose; number one, digital acceleration and number two, equally as important our responsibility and sustainability roadmap. And I'm proud to announce today our new collaborative agreement and we're the first private company to do so with the IUCN, the International Union for Conservation of Nature, and I will be going to Marseille on Friday to participate there. This is a very important partnership. I'm extremely excited about it and very enthused at the idea of what we will be doing together in the coming months and years. Second as well, we've introduced the new global Diversity and Inclusion roadmap which is titled Live Without Labels to drive more inclusion and diversity within Pernod Ricard just to mention as well the gender pay gap has been reduced to 1.8% which is very low. We have also revisited our targets in terms of carbon, so our new carbon targets are to reach Net Zero in scope 1 & 2 by the latest in 2030 and hopefully and this is what we're going to try and drive even before 2030 and scope 3 by 2050. We are a signatory of Business Ambition to 1.5% Celsius which is an SBT initiative. Finally packaging and waste, as we mentioned we accelerated some of our targets there starting with the removal of single-use plastic point-of-sale material. The initial target was 2025. It is done with the exception of cups for the time being which we are currently addressing. And finally, in terms of responsible hosting and responsible consumption we launched over summer and hopefully some of you have seen this or drink more water of course campaign which is really targeting binge drinking amongst young adults. First results of that campaign are extremely positive and we now have three logos and the aim is to have three logos on all our labels throughout the world where obviously it's legal; no drink driving, no underage drinking and obviously if and when you are pregnant, no drinking as well. So these are all our initiatives just a summary of some of the most important ones, but obviously there the roadmap is much more detailed and it is something we're extremely proud of and which is embedded today throughout our entire business. I wanted to take a little bit of time as well to go beyond just the numbers and talk a little bit about our strategy. At the end of the day, I wouldn’t say numbers are detailed, but numbers are a consequence of strategy, and I really believe strategy is what matters, and that the numbers come there afterwards. So three years ago we shared with you our Transform and Accelerate strategic roadmap. It was a three-year roadmap and if you look at some of the results; number one, some of the key milestones in our most important markets and in terms of portfolio management, I already mentions the U.S. and China with record sales and some very symbolic milestones that have been reached, our leadership in global Travel Retail in China and in India has been reinforced over the last three years. I already mentioned e-commerce, which is really enjoying significant growth and will continue to do so in the coming years. And also I mentioned dynamic management of our resources in terms of the allocation, in terms of reinvestment across markets and brands what really matters with a clear return on investment strategy there. In terms of digital, I mentioned again we accelerated our digital transformation, and this is across all functions with six key, what we call, key digital projects, KDPs touching really every function. We are building industry-leading data science capabilities across the business, and it is starting already to pay dividends. I mentioned it as well, we have an ambitious sustainability and responsibility roadmap and mentioned some of our ambitious targets, and as well to remind you we are a UN Global Compact LEAD. And finally, of course, as a consequence in terms of financial performance, we have strong top line momentum. Before crisis we had reached 6, we're now above our pre-crisis levels like current constant FX. We have gained operating leverage with a record year this year with 213 basis points, historical high cash performance. And as I mentioned in the introduction, increased shareholder returns. I often now get the question on our strategic roadmap. It was a three-year strategic roadmap. What's next? First of all, to deliver this roadmap and to work on that strategy we had done very, very, a lot of a lot of work, an in-depth analysis of market trends of emerging trends driven by a consumer insight. So these trends have not changed during the crisis. I would even go as far as to say they have accelerated due to the crisis. The first of them and the most important one was changing consumer values and expectations from brands and corporations. We had mentioned within the framework of our strategic roadmap that consumers had radically changed. They were much more open, much more connected due to the rise of digital and social networks. They were more fickle. They were no longer faithful or loyal one brand, but to a repertoire of brands depending on the moments of consumption. They were increasingly demanding with an increased thirst for purpose, for new experiences and services. This has not changed. It has accelerated during the COVID crisis and we have organized ourselves to address these needs. We also have design this strategic roadmap within a new, what we call, a new world order framework, as you can see with a radically new geopolitical context and this in fact has accelerated during the COVID crisis. We had mentioned the real emergence of middle and affluent classes representing over half of the global population. For the first time in history middle and affluent classes represent more than 50% of the world's population reaching 3.8 billion people which is expected to reach 5.6 billion people by 2030. Thus the importance of our leadership presence in China, in India and our investment strategy as well beyond China and India and Southeast Asia, in Sub-Saharan Africa and in Latin America and this is very important. We also had mentioned the tech and data revolution, well no need to dwell on that one which is obvious to everybody as you can see how digital has increased and digital penetration and ways of working have increased during the COVID crisis. And finally, and this was, goes back to three years ago, still more than ever true, unprecedented change in the workplace and clearly there is an increasing war for talent. And by the way the island which is Pernod Ricard's headquarters from which we are here live, is the perfect physical illustration of what we want to do be extremely attractive, have people wanting to come and work at the office and by the way we're fully booked today and really facilitating collaboration within our working space, so no more silos. So these fundamental insights are even more true today than they were ever before, and we are continuing our transformational journey. We have a very compelling vision, créateurs de convivialité is extremely inspirational. It's more than ever true that desire that people have truly to connect to meet socially and we saw during the crisis when this doesn’t happen how difficult it is for people. So, créateurs de convivialité, very compelling vision. We have a single-minded ambition which is to become the number one wine and spirit company globally. In 2015 we introduced a consumer-centric business model based on business fundamentals which you have here on the slide, the essentials for Pernod Ricard and also based on what we call our business accelerators which you also have on the slide. We have a very clear strategy around winning in key geographies, build fashion brands, valuing our people and funding the journey. These are the four big battlegrounds. And finally, in terms of mission, everything is evolving. Our mission has evolved over time. I would say that during the decade from 2000 to 2010 while we played a leading role in industry consolidation with big transformative transactions and deals with Seagram's, with Allied Domecq, with Vin & Sprit, so that was from 2000 to 2010. Then during the decade of 2010 to 2020, it was all about route to market. I mentioned earlier, capturing that emerging middle class in emerging markets, so we developed our route to market in Southeast Asia. We developed a new route to market and opened a lot of affiliates in Sub-Saharan Africa. We started really increasing our investment levels in Latin America. So that was the decade from 2010 to 2020. And now as we embark in this new decade from 2020 to 2030, our next mission is to build, what I call, Pernod Ricard as a conviviality platform company. What does it mean? Well, at the end of the day it's all about developing direct transparent interactions that bring together all of those in our professional environment; consumers, customers, clients, partners, brands, employees, et cetera using all of the data generated by our activities to offer products and services that are ever more relevant. It's all about having the right product at the right place, at the right time, to the right consumer everywhere where it matters, and leveraging data to do this in the most efficient and effective way, that's what it's all about. So, our framework, which we had shared with you 3 years ago, which is over time to maximize long-term value creation, is still here. So our medium-term ambition framework is very clear; 4% to 7% top line growth leveraging key competitive advantages and consistent investment behind TBMC's brand market companies, combinations, focusing on pricing and building operational excellence initiatives, significant A&P investment and the global framework ratio for that is at around 16% of net sales with very strong arbitrations behind the relevant brands and markets. Discipline on structure costs, as you may have seen over the last few years, investing in priorities well, of course maintaining an agile organization and finally, delivering over time medium term operating leverage of circa 50 to 60 basis points, obviously, provided that 47% top-line framework. And from a financial policy point of view, our priorities are still extremely clear; number one, invest behind our business to drive organic growth in terms of resources, whether it's A&P, whether it's HR, our people, our structures, but of course as important in terms of strategic inventories of course, and CapEx. Second priority, M&A. Bolt-on acquisitions continue and pursue our active portfolio management and we've been extremely active from that point of view and with the new announcement of a great partnership this morning with Sovereign Brands; great company, great people. I'm very excited about our collaboration to come together. Third priority, dividend of course, to thank our shareholders with a pay-out policy of circa 50% and finally, share buyback and we are going to resume our share buyback program as I mentioned earlier. I will make an announcement as well. We will be holding a Capital Market Day some time during this fiscal year, probably during spring, but we need to see if all the agendas work and again depending on the sanitary situation, but this is more or less what we are aiming at, so we'll give you a comprehensive strategic update by then. Very briefly, in terms of our top-line sales by region, you see that all our regions are growing, two of which are growing double-digits, starting with, Americas up, 14%. Excellent broad based, by the way, growth across the region, obviously with the USA up 16%, but I could mention Canada and South America with a great performance both in Brazil and Mexico. Asia, rest of the world up 11%, very strong growth driven principally but not limited to, of course China, but as well South Korea and Turkey, strong-strong growth in Turkey and by the way as well India, which grew 9%, second highest, top-line ever in India. Not record sales yet, hopefully by the end of this year it will be. And finally, Europe of course 4%, very dynamic rebound, extremely good growth in the UK, extremely good growth in Germany, and in Eastern Europe, by the way gaining share in all these markets, offsetting -- more than offsetting the decline in Spain for obvious reasons and Travel Retail, all of this leading to a great growth of 10% of our top line. Well, I won't dwell into these, but again USA very strong growth of 16%. Global Travel Retail, unfortunately down 40% for understandable reasons, but gaining strong market share in that channel and we are big believers of a rebound of that channel in the future. For this year we expect a gradual recovery, very strong growth in China, record growth and record year up 44% growing across all segments and across all brands with a very strong mix, and India, I mentioned up 9%, by the way very resilient given the environment in India, while the underlying consumer driven trends are clearly there. Europe, market share gains in France, market share gains in Spain, market share gains in the UK, market share gains in Germany, market share gains in Russia, market share gains in Poland and you have here some of the numbers. Americas, I mentioned the U.S., but as well good growth in Canada, excellent growth in Brazil and Mexico as I mentioned, Mexico up 32% for instance, where we also gained quite a lot of share. And finally, Asia rest of the world which includes China and India up 11% as I mentioned. Difficult situation in Japan, but gaining value share. Successful refocus in South Korea on our strategic importance international brands, triple-digit growth in Nigeria and great performance in South Africa given the circumstances, and finally as I mentioned, market share gains in Turkey. Finally, just a brief overview in terms of category, strategic international brands of double-digit 11%, strategic local brands up 7% driven by the recovery of our Indian Deluxe Seagram’s whiskey brands but as well, Kahlua, Passport, Ramazzotti, in particular in Germany. Our Specialty Brands gained 28%, which is quite amazing driven by Lillet, but also by Aberlour, amazing growth of Malfy of our American whiskey portfolio, but as well of our Tequila, Avión or of our Prestige Craft, Irish whiskey brand Redbreast. And finally, our strategic wines which are stable, with good growth by Campo Viejo, which is offset by the decline of Jacob's Creek and finally Kenwood. So, you have here the detail by category. I won't spend time on it to leave time for Q&A and I'd like to pass on to -- for the profit section to Hélène.
Hélène de Tissot: Thank you, Alex. So, let's move now to the profit and to the full P&L shape. So, profit from recurring operation is growing organically by 18.3% with a very strong organic operating margin expansion of 213 basis points. If we start with the gross margin, it's expanding by 64 basis points, driven by stable pricing with fewer price increases in the COVID context and better fixed cost absorption from volume growth and operational excellence savings. A&P ratio at circa 16% resulting from purpose-based investments, with quick response to channel shifts, so we've been really actively managing our resources with strong reinvestments in markets and categories returning to growth. Structure cost, limited growth of plus 1%, which is delivering 136 basis points of improvement with a very strict discipline and the full impact of the fiscal year 2020 reorganisation. We do expect a strong increase of our structure in fiscal year 2022 to support the growth. So, profit from recurring operation is including profits of €28 million that we communicated last week in U.S. dollars, so €28 million in this P&L. The significant FX impact that you mention already Alex, impacting our profit from recurring operation by €255 million, which is mainly due to U.S. dollar and emerging markets depreciation versus euro. Moving now to the EPS, it's growing by 13% thanks to increased profits and lower costs of debt. So, starting with the financial results, from recurring operation it is improving by €66 million versus the previous year, which is the direct result of very successful bond refinancing at lower interest rates, especially the most recent one that we did refinance in November ’20 on the U.S. dollar market, and to a lesser extent a positive FX impact improving the financial results. Average cost of debt is decreasing very significantly. It is now at 2.8% versus 3.6% in fiscal year '20, thanks to this successful bond refinancing. Tax rates on recurring items is at 24.3% which is quite stable versus the previous year, with a geographical mix which is offsetting the positive effects of the reduction of the French corporate income tax. And the reduction in number of shares is reflecting the share buyback that we carried out in fiscal year '20. Moving now to the group share of net profit, and with a strong increase and very significant increase in net profit which is due mainly to the non-recurring items in fiscal year '20, in particular the €1 billion impairment charge that we booked last year. If we zoom now on the non-recurring operating items, that's minus €62 million, this is mainly driven by restructuring and reorganization costs, linked to the transformation of the Group and as well to impairments of our Korean whiskey, Imperial. And then, these total costs are partly offset by the USA drawback. Increase in corporate income tax, which is driven by the re-evaluation of the deferred tax further to the increase in the UK tax rate which has been enacted in fiscal year '21 and as well the fiscal year '20 which was impacted by reduction in deferred tax liabilities related to the impairment and this is not repeated in fiscal year '21. Moving now to the cash performance. So, Alex mentioned that already in the introduction, we are delivering very strong cash performance this year with an outstanding recurring free cash flow at historical high of €1.745 billion, which is increasing by 74% versus last year. If we look at the different drivers of this great cash performance starting with the strategic inventory, so lower increase in strategic inventories which is driven by the higher usage of stocks linked to the business recovery and dynamic top line growth, partially offset by cash-our increase obviously, to support our mid-term growth. Strong improvements in the operating working capital, which is very much linked to the rebuilding of payables with the acceleration of A&P, especially in the second half of the year, partly offset by higher receivables due to the business rebound. Increased CapEx to drive future growth. The amount of CapEx for the year is €388 million. We are expecting our investment in CapEx to increase in fiscal year '22 to support our strategic ambition to an amount which is expected at roughly 5%. Significant reduction in financial expenses, which is the cash translation of what I mentioned in terms of P&L, so this is thanks to the successful refinancing. Reduction in our tax cash-out linked to the lower prepayments in the UK and favourable phasing resulting from the COVID impacts in fiscal year '20 in France and China. Non-recurring items, due mainly to restructuring and make-whole call exercise with the €2 billion bond early repayments done last year, partly offset by USA drawback cash collection. Moving now to the evolution of our net debt, so a very significant decrease of leverage from very strong free cash flow, which is enabling us to reduce net debt down to €7.4 billion at the end of June. So €972 million decrease in net debts which is driven primarily by the very significant free cash flow improvement I just detailed, linked to the business recovery and to M&A cash-out reflecting active portfolio management. A reduction in dividend paid in fiscal year '21 linked to the reduction of fiscal year '20 profit linked to COVID and €95 million debt from additional lease liabilities, and a positive translation adjustment mainly due to the USD depreciation versus euro which is bringing our net debt-to-EBITDA ratio down to 2.6. Moving now to the return to shareholders, and even to stakeholders, a significant return to stakeholders this year in the context of our strong cash, P&L and cash performance, we are proposing a dividend of €3.12 per share, which is an increase of 17% versus fiscal year 2020 back to the historical high of fiscal year 2019 and you have on that slide, the historical dividend from fiscal year 2016. Our share buyback program that has been stopped in April 2020 is going to resume for the remaining amount being €0.5 billion and we are resuming as well, our employee ownership program. The first program was launched in fiscal year 2019. So the second program is going to take place in fiscal year 2022. And back to you Alex for the conclusion and outlook.
Alexandre Ricard: Thank you very much, Hélène. Well, again, in terms of conclusion, this past fiscal year has been very good with an excellent rebound with our sales up 10% and our profit up 18%. Now, this past year is past. Looking forward for this new fiscal year, for fiscal year 2022 what do we expect? Well, number one, we expect a good sales momentum supported by number one, the untraded recovery, number two strong resilience of trade. And number three continued dynamism of e-commerce. And finally, the Travel Retail channel, which we expect to see gradually recover, obviously, off of a low base. And this in an environment where we're Of course, we do expect to see ongoing sanitary restrictions and volatility related to that. We expect a very dynamic first quarter for July, August and September, obviously helped by a low basis of comparison last year during the same time, our net sales were down 6%. We of course, expect and will continue to invest significantly in terms of A&P and structures of course, to seize all the growth opportunities around us and really to invest for as to support our future growth. We will continue, as I mentioned earlier on to implement our clear strategy, and specifically accelerate our digital transformation. And finally, we will resume our share buyback program by roughly about €0.5 billion this fiscal year. So without further ado, let me hand back to Julia for the Q&A.
Julia Massies: Thank you, Alexandre and thank you, Hélène. And we'll turn to your questions. Operator, if you could put through the first caller please?
Operator: Yes, we have the first question from the line of Simon Hales at Citi. Please go ahead.
Simon Hales: Thank you, Good morning, Alex. Good morning, Hélène. Good morning, Julia. Two or three questions if I can. Firstly, you talk about sort of A&P and structure costs developments in the medium term. But Hélène, you mentioned in your presentation, please the structure costs in particularly with increase in F22. Could you talk a little bit about where that investment is going, how we should think about the overall rate perhaps of structure costs, as well as A&P investment relative to sales in the new fiscal year? So that's my first one. And then secondly, in regards to the cash flow going forward, clearly, you've benefited from the working capital improvements you saw this year, which were quite impressive. But should we expect to certainly the strategic inventory investment to return to more normal levels, as we head into F22 and beyond? And then finally, as part of the transformation journey, Alex, you talked about the fact that you've needed to innovate and activate more brands in new markets or in existing markets. And from here, do you still need to see a step up do you think in the rate of internal innovation in the business or do we need to see further M&A to sort of create those brand opportunities in markets? Or is it more about leveraging the existing portfolio more widely now?
Hélène de Tissot: Okay, so thanks for the questions. Let me start with the two of the first questions. The first one on A&P and then structural cost, so as you noted, I mentioned the needs to reinvest behind our organization and we did mention that as well, obviously this, the willingness to significantly invest behind our brands. So starting with A&P, we as well reiterate our medium term indication in term of how you should think of our business moving forward, so circa 16% A&P to net sales ratio is still quite a good indication. So obviously, it's an estimate and our willingness is really to be very active in reallocating those resources depending on the opportunities. And we are already obviously, doing that very actively with our markets. For the structure and the strong increase I mentioned is as well, we believe very relevant in a context where, for the past 18 months, we've been managing our structure in a crisis mode, with a very, I would say, immediate reaction to the impact of COVID. If you remember our numbers in fiscal year 2020, and the monitoring of our structure in the last quarter, in fiscal year 2021, we had as well very strict discipline. And we did put in place very strict guidelines across the Group in terms of recruitment freeze and salary increase freeze. Now we believe it's time to reinvest behind our structure, behind our teams. We have a very ambitious agenda, a very ambitious agenda in terms of transformation, and we need to have the right resources to support that growth. So that's the way you should look at our investment moving forward. Your second question on cash flow, you rightly pointed that the working capital need evolution, which has been very positive in this fiscal year 2021. Maybe let me clarify on the strategic inventories, because we didn't compromise on the strategic inventories investments in this fiscal year, and we will not obviously compromise either in the in the coming years. So the let's say the fact that the net amount was a bit lower than pre-COVID is really linked to the stronger usage, linked to the rebound of the business. So moving forward, the circa €300 million we used to share is still a valid number. And using the opportunity of your question to mention that you should expect some normalization in terms of working capital need evolution, especially because we are going to rebuild payables, obviously, but we won't have the same opening balance sheet than the one we did, this 97% cash conversion rate is probably one of our strongest, you should expect that rate to let's say normalize compared to where we were pre-COVID.
Alexandre Ricard: Well Simon, to address your third question on transfer and accelerate and the pace of innovation is a key growth accelerator for Pernod Ricard. There is no doubt about it. And there are two sources of innovation internally, of course, and this is leveraging our existing brands and franchises, brand franchises. So a lot of innovation around for instance, Jameson with Jameson Cold Brew, which has had an excellent year. I think it was the top, the third biggest innovation in the U.S. last year and more to come with the launch of Jameson Orange, of course. Around the Glenlivet, just to give you an example again, which was the sixth largest innovation in the U.S. last year with the Glenlivet Caribbean Reserve, but I could go on and on. There's a big dynamism around innovation around our big brands, around every single one of our big brands, that's internally. But that doesn't mean we will not innovate through partnerships, through acquisitions, et cetera, with the external world. Our bolt-on acquisition strategy will continue and so far it has been very successful and it all started with Monkey 47 which by the way is still growing and is a very, very successful prestige crafted Gin. I'm not going to do a commercial around Monkey 47, but and mind you it's just amazing to see the success of this brand. But more recently in the Gin space as well if you look at Malfy, where we had a triple-digit growth. I mean Malfy is as well as a great successful story. Listen, we did not have a couple years ago any presence in U.S. whiskies and now we have Smooth Ambler, we have TX whiskey, we have Rabbit Hole which is very, very successful and more recently even we have Jefferson’s which is doing extremely well as well. So I could go on and on. As well, we announced a few months ago partnership with [indiscernible], which is a great rum as well. There's great success around Del Maguey, which is the leading premium mezcal brand. So it's both ways innovation internally using our existing franchises, because we're good at that and innovation externally through acquisitions, partnerships, and as well with platforms and teams and innovating teams. Last year, we announced the partnership with Lafayette. And this morning, by the way, we just announced the partnership through a minority stake in Sovereign Brands, an amazing team, led by the Berish brothers with great brands, very creative ideas. So I'm very enthusiastic at what we will be able to do in the innovation space together. So innovation is at the core of what we do. It is a key accelerator of our growth, and will keep on being a key accelerator of our growth, for one simple reason by the way, consumers want it and we are a consumer-centric organization. And one of the key insights we have from our consumers is they want to test new things, and they trust us to do so.
Simon Hales: That's really useful. And so when I just want to pull that all together, and I look forward just into maybe fiscal 2022, particularly with Hélène's comments, should we expect of seeing strong top line sort of acceleration sort of continuing, but should we expect to see any operational leverage next year Hélène and Alex, given the reinvestment that's going back into the medium term?
Alexandre Ricard: At this stage, I'll tell you one thing, after having delivered 213 basis points of operating leverage last year, I would say that this year, let's just focus on sales momentum. There is sales momentum, and we want to invest behind our key growth priorities, because there are a lot of opportunities out there and so this should be the focus. There's still a lot of uncertainties in terms of channel mix, in terms of SKU mix, in terms of market mix. The one thing we know is we do expect to see that sales momentum, and we want to focus on that. So let's think about margin and all this kind of stuff a little bit later, if you're happy with that.
Simon Hales: Very clear. Thank you, Alex.
Operator: We're taking our next question from the line of Edward Mundy of Jeffrey's.
Edward Mundy: Good morning, Alex. Good morning, Hélène. Good morning, everyone. I'm just putting on that just - I appreciate you're not giving guidance for fiscal 2022, but you're talking about, good sales and to continue this year with a very dynamic Q1. Does this imply that growth this year could exceed your medium term 4% to 7% range? This is my first question. My second question is really around the mood on the ground in China, you've had a very strong fiscal 2021, what impacts on underlying consumption if any do you expect from the potential common prosperity policies? And then the third question was on strategy and conviviality platform that you highlighted Alex, without getting funded from the capital markets event, I'd love to better understand, what is the picture of success? And for you, as you create this conviviality platform, perhaps showing a few examples of two or three behaviors, that is not doing today, and that you will be doing?
Hélène de Tissot: Okay, thank you very much for your question. Maybe I will answer the first one. So, in terms of guidance for the year, what we are sharing is the qualitative guidance with everything we know so far. So you mentioned this good sales momentum, but to your question versus our midterm indication. As a reminder, the midterm indication is on a normalized context, I would say normalized basis and we know that we'll still be recycling obviously numbers impacted by COVID H1 base being more favorable than H2 in the EDC scale of '22. In H1, last year, we were declining by minus 4% with a strong rebound in H2, so that's already an indication. If I want to give you a bit more detail in terms of most, when we do we expect some recovery in India in fiscal year 2022 even if we believe there might still be some volatility linked to the pandemic situation. USA, the momentum is good and the growth should remain good in this fiscal year 2022. China, I will come back to it, but has very good momentum in fiscal year 2021. And this is as well as expectation of a good momentum in fiscal year 2022 and global Travel Retail will be improving very gradually, but which means it would be growing on a low basis, which will as well support our numbers. That's what I can share with you.
Alexandre Ricard: Regarding your question on China, listen, my understanding, my take on what I read over the summer and what I heard is that the intent of the country is really to support the emergence of middle class households. And by the way, our strategy, which we shared with you, was to leverage middle class Chinese households as they emerge, and to increase our penetration in the Chinese market. So all in all, from that point of view, if indeed we see increase, an increase in purchasing power and the acceleration of the growth of middle class households, I would say, in fact, it's -- it could be a positive. So obviously, I'm -- I will keep on following very closely what happens from that point of view, but my take is, the focus of the country is on the emergence of middle class households and our focus is as well. Regarding the conviviality platform, yes, we did what we call a teaser this morning with that concept, which we really own and want to own. And again, the underlying vision, which is to have the right brands targeting the right consumer at the right time with the right message at the right price behind this perfect, I would say equation is data, of course, and the management of data and basically algorithms, which will allow us to achieve that. And this really will end up by an uplift in our performance, because at the end of the day, the difference in efficiency between having the right product in front of the right consumer within the right conditions versus, something which is less data enriched, is huge. And of course, when we will do our capital market day, we -- this will be our central focus. What do we mean by conviviality platform and how does it translate from a technological and more specifically digital and data enriched point of view? We have many, many clear concrete examples, which we are in fact rolling out as we speak throughout the world.
Edward Mundy: Thank you.
Operator: We are taking our next question from the line of Trevor Stirling of Bernstein.
Trevor Stirling: Good morning, Alex and Hélène. I have three questions from my side please, various topics. So first one focusing on the U.S. really, we've seen an extraordinary gain for spirits over the last 18 months and to quote, both in terms of at-home consumption and also trading up. What do you expect the new normal to be Alex for the U.S. spirits industry as we move forward from here? The second one is, the mission for scope 3 neutral by 2050 is clearly a massive step forward from where we are today. Do you want to lay out where you think some of the biggest challenges are? Which are, you probably don't know what the answer is at the moment, but the answer will help to develop over the next few years? And then finally, Hélène a technical point, on the €28 million benefit from the drawback in the press release you've also talked about a total benefit $163 million, of which $33 million would be PRO, the other $130 million, where is that being recognized in the P&L? Thank you very much.
Alexandre Ricard: Thank you, Trevor for your questions. I'll take the first two, listen on the U.S. there's no doubt, as crisis do they tend to accelerate trends. And as we all know, spirits have enjoyed quite some momentum in the total alcohol beverage industry in the U.S. over the last decade or so. What we have seen and during the COVID crisis and you clearly mentioned is an acceleration of that trend, through what we call increased penetration of households for spirits. If you talk to consumers in the U.S., which unfortunately I haven't been able to do in the recent months for obvious reasons, but looking forward to do in the coming weeks finally, but our teams have been pretty clear from that point of view. People, consumers in the U.S. have learned how to drink cocktails at home, how to get served cocktails at home through digital in fact and convenience, but also how to blend their own cocktail at home. So mixology has become something quite fun, in fact in the U.S. and we've even launched some master classes online to help our consumers from that point of view. Well, that increased penetration remains going forward. It's difficult to give you a clear cut answer, but clearly, we're working on making sure that part of that remains for sure and only the future will tell. The second point, which is on premiumization, we have seen an acceleration of this trend in the U.S. clearly, and we've seen trading up at home because for the same amount of budget, dining outside of home and drinking outside of home, you could treat yourself for that same budget with which with higher marks and more prestige brands and that's what consumers did. Will it hold it in the coming future is another question, but what it did do is it really developed a taste for these higher marks. So there will be a continuation of premiumization anyhow, underlying, as long as the economy continues to grow with well in the U.S., as it has been the case over the last, I would say, 12 years now. So we'll see from a more specific standpoint, but so far, it's true that spirits have been a clear winner out of this crisis. On your question on Scope 3, very important question, just to give you a number, Scope 3 is 90% of carbon emissions for us. So the 10% that we deal with Scope 1 and 2 and we're very clear about our roadmap is very, very detailed and we have clear milestones and this we have direct control on. I would say the key challenge on the other 90% is, number one, it is Scope 3, which means it's indirect, we don't have direct control upon it. So it's all about going to be that the word collaboration. We will partly, we have already started partnering and discussing about collaboration with some of our key suppliers around Scope 3. If I can take one example, glass manufacturers and so on, to see how we can improve together, because obviously, changes from a suppliers point of view, will have impacts at Pernod Ricard side, including by the way cost, but it is a cost we're willing to address and absorb, because it is the right thing to do. And eventually, consumers as well will fully understand. So I would say the biggest challenge is one of collaboration with our suppliers, because we don't have direct control and our control or our impact is indirect. And we're going to leverage that the great partnerships we have and the great relationships we have with our suppliers and partners to address this, because we're all at the end of the day on the same boat.
Hélène de Tissot: On drawbacks, as you rightly mentioned, these brought in the profit from recurring operation. The remaining amount is in non-recurring operating items, you have the detail on Slide 23 of the presentation. So for US$130 million equivalent in euro is €109 million in non-recurring items.
Trevor Stirling: Super, thank you very much Hélène and Alex.
Operator: We're taking our next question from the line of Andrea Pistacchi of Bank of America.
Andrea Pistacchi: Good morning, I also have three please. The first one on gross margins is very strong performance in the second half, that your gross margin has recovered only partially towards fiscal, the pre-pandemic levels. Do you see the 61%, 62% that you were delivering before COVID as a level that you can get back to over time and what do you see as the moving parts affecting gross margin this fiscal year? The second one please, going back to what you're saying, Alex on innovation. It seems that some of your more recent innovations like Jameson Orange or Cold Brew is probably more assertive than it would have been in the past, really pushing the boundaries of the brand in the case of Jameson. Does this reflect maybe a broader change in the way you're actually developing innovation probably more decentralized than was the case in the past? And then the third question please, on Jameson in the U.S. where there's been clearly a very strong recovery in the on-trade there, is Jameson performing strongly in this against this backdrop and how is Orange positioned in the U.S. in order to sort of make it incremental to the franchise rather than recruiting from the core?
Hélène de Tissot: So let me start with your question on the gross margin, and using this opportunity to clarify the drivers in fiscal year 2021. So there was a quite positive brand mix and market mix, when you look at the performance of U.S. and China, but they were as well some negative linked to the still subdued Global Travel Retail. In fiscal year 2022, it's very early days, obviously what is very clear is that there will be pressure on the COGS. I'm sure you are fully aware of what's happening in terms of supply chain and increased pressure on commodities, logistics and so on. So, this is something we are very closely monitoring starting obviously right now, so this could be bringing some negative pressure. At the same time, we could be looking at a better environment in terms of pricing. This has been quite subdued in the COVID context. And we are as, as you know, very clear on our strategy in terms of premiumization and price. So we have the ambition and change to premiumize and take price as and when possible. Let's see what would be the context in fiscal year 2022. And then back to your more midterm question, I would say that with premiumization, pricing power linked to the investment, strong investment behind our brands, this should help us to improve our gross margin. The recovery of Travel Retail, as well, so this is what I can say in term of midterm evolution.
Alexandre Ricard: So Andrea, regarding your question on innovation, yes, it's a good question because, in fact, if I go back to our consumer insights, consumers want brands to innovate. They want to taste new things and they allow brands as well even to test new things. And the two examples you gave with Jameson Cold Brew, which is a great success from an innovation point of view, was the third largest innovation in the U.S. last year and Jameson Orange is to come by the way that the trade is extremely positive about it. It still hasn't been launched in the U.S., it's going to happen in the coming months. Yes, we have, again, based on our consumer-centric business model, part of the reorganization we've done over the last couple years involves as well decentralizing our innovation hubs, in what we call drive markets, close to consumers, to drive creative ideas around our key brands and you should expect to see more of that in the coming future, more disruption around our brands and more tests as well and interesting innovations. By the way, the day you'll be, you'll have the opportunity to taste Jameson Orange, I'd be curious to know what you think about it. I was lucky enough to receive a bowl during my summer break. So I had my friends and myself obviously taste it. Listen and I wouldn't be surprised if they were to be a great, great success anyway, so we'll see. For Jameson in the U.S. by the way, we've had a good year. So if you look at our last fiscal Nielsen performance for Jameson, it's 6%. Of course Jameson suffered a bit because of its over exposure to the on-trade but good news, the on-trade is reopening. So, Jameson U.S. is probably a mid single to high single digit growth brand. And overall, Jameson is just undergoing great growth growing basically everywhere in all regions. So I'm very confident about Jameson’s near term and medium term, by the way, future.
Andrea Pistacchi: Thank you.
Operator: We are now taking our next question from the line of Sanjeet Aujla at Credit Suisse.
Sanjeet Aujla: Good morning, Alex, Hélène and Julia, a couple from me please. Firstly just coming back to the U.S., would you be able to just give a bit more context around your sellout trends in Q4, as the on-trade has opened? How are you performing versus the market from a sellout perspective in Q4 and would you be able to just highlight your share trends in the on and off premise channels, if possible as well? And then my second question, just coming back to the U.S. drawback Hélène, should we view that as a one off benefit in fiscal 2021, which comes out in fiscal 22 or just give us a bit more context around that, please? Thank you.
Hélène de Tissot: Okay, so thanks for the question. Let me start with the first question in terms of performance, if you don't mind, I will ensure more globally not only focusing on Q4, even if obviously in Q4 we benefited from the reopening of the on-trade, so basically, what happened last year is in each one, there was a strong growth in the off-trade and the on-trade was declining quite significantly. In Q3, there was, let's say moderation in the growth in the off-trade, because at the recycling of the [indiscernible] low the year before. And in Q4, the resurgence of the on-trade had some impact in terms of decline in the off-trade. In that context, we believe our sellout for the full year is around plus 7%. I take the opportunity to comment to clarify that in terms of selling we were -- our figures on a low comparable basis, because of the destocking we did at the end of fiscal year 2020. So sellout at circa plus 7% in a market which has the dynamics I just described. So we were broadly in line in each one in the respective channels, and a bit penalised by all over exposure to the on-trade. In the second half, it's a bit difficult to assess our performance by quarter and by channels because there's so much volatility when you look at Q4 numbers in the on-trade, for instance, we're talking about 300%. So I mean, we need obviously to take a step back and see in the coming months what is the global performance, but we've been still impacted by the difficulty in the on-trade. Q4 has been stronger, when you look at the figures in the on-trade. And this is quite logical with our exposure to the on-trade. So if I move then to your question and the drawback, I mean, the drawback numbers in fiscal year 2021 are linked to the most recent decisions that was published a week ago. So we had in our numbers in our profit from recovering operation, the flows linked to the fiscal year 2021 activity. So far, drawback is legal mechanism that is eligible to spirits. And I remind you that this is a mechanism which is there to support employment in manufacturing in the U.S. So there is a, I would say, a good likelihood that we will be able to benefit from that mechanism in a context, which is obviously still a very supportive of the employment in the U.S.
Julia Massies: Thank you. I'm afraid we're coming up against time. So we'll have to limit our questions to just two more callers, please. Thank you.
Operator: We're taking our next question from the line of Laurence Whyatt at Barclays.
Laurence Whyatt: Good morning, thank you very much. Three questions from me. Firstly, your medium term guidance is dependent on getting back to a normalized context. And obviously, we're still currently under a few restrictions globally, when it comes to COVID and the Travel Retail market should be expected to recover for a number of years. How long do you think it will take for us to get back to what you'd say a normalized context would be? And I suppose my second question is linked to that directly on the Travel Retail business, can you give us any indication of current success or on the Travel Retail division, we've got, my numbers about 3% of sales currently coming from Travel Retail used to be around I think 8% of sales, could you give us a level of what you're seeing current Travel Retail recovery, now that some holidays and the like are now happening? And then finally, on the U.S. business, it seems some of the success of your peer group is related to the tequila category and you are somewhat subscale in tequila at the moment. Do you have any plans to either accelerate your current portfolio or do you think it might require additional acquisitions in the category to be able to bring that up or do you think that you can just make it up elsewhere in other categories? Thank you very much.
Alexandre Ricard: Well listen, our framework is a framework. It's not a guidance, it's a framework. We do believe that the 4% to 7% top line growth framework is a medium term framework driven by, as I mentioned earlier, mid-single-digit growth in the U.S., high-single-digit growth in China, low double-digit growth in India, and a global Travel Retail channel, which is not disrupted, which will happen again one day. Question is when? So that's the medium term framework within which we're very comfortable. On your question, when will the world normalize again? Frankly, I read the same newspapers as you do, I assume. I read the FT, I read the Wall Street Journal, I also read the French press Les Echos. It's -- the answer is not clear-cut. And I would say it doesn't really matter to us at this stage, because if I look at the current year, the one we're now, the fiscal year 2022, we expect to see good sales momentum. We're really -- we have organized ourselves to invest really to seize these growth opportunities this year and by the way beyond. Whenever it happens, it will happen and we will be there. And by the way, when we entered into that crisis, we had two very clear objectives; number one to demonstrate the resilience of our business model I hope, then up to you to tell us, but from my point of view, there's no doubt we've shown the resilience of our business model. And second, which is more where we are standing now is to emerge out of that crisis, even stronger than before. And that's why we accelerated our strategic roadmap and our transformation to really emerge from this crisis much stronger. When will this happen exactly? Your guess is probably as good, if not, maybe even better than mine. So that's not my concern today. My concern today is really to seize all these growth opportunities out there, because there are quite a few. With GTR, listen, passenger -- international passenger traffic, let's be very clear, is still 80% down versus pre-COVID crisis levels and regional travel has recuperated, in the U.S. traveling has recouped. Within China, it has recouped. Within Europe, it's growing again, but international travel is still significantly below pre-COVID crisis level, roughly 80%. So, but the rebasing, if I have to call it related to COVID has happened in a GTR. GTR is back to growth, of course of a much lower base this year. So you should see, as we mentioned, a very gradual recovery of that channel, which means it will be growing, obviously boosted by a very, very favorable comparable basis. Remember, our Global Travel Retail for the last fiscal year was down 40%.
Operator: We're now taking our next question from the line of Mitch Collett at Deutsche Bank.
Mitch Collett: Good morning. I have three questions, the first two of which are pretty quick. So you said ecom was up 63% and can you give us the proportion of sales that are now ecom? And secondly, you also said that you're gaining share in most markets. And Alexandre, I know you went through some of the markets where you're gaining but could you perhaps put a figure on what percentage of sales you're actually winning share in? And then the final one, you've said CapEx is going to be around 5% F '22. Can you give us some color on where the additional spend is going? And also perhaps give us a steer on where you think CapEx can be long-term? Should it go back to the 4% level that it was in the past or is 5% likely to be the new normal? Thank you.
Alexandre Ricard: Sure. Listen, on e-commerce up 63%, e-commerce is still slightly below 5% of our total business. A big chunk of that 95%, 96% is B2B to C and the rest is B2C. By the way that 63% growth is, 50% growth in China, 80% growth in the U.S.,70% growth in the U.K., 30% growth in France and so on and so forth. Listen, in terms of your question on share gains, if I take, the way I measure share gains is I look at all our markets market-by-market, but if you take our top 20 markets, I think we're gaining or at the very least maintaining sharing at least 18 or 19 of our 20 top markets. So that's why I'm saying in almost all markets, and I'm not saying in all markets. And on your question on CapEx, Hélène what's happening through our investments?
Hélène de Tissot: It's a great question. So CapEx this circa 5% is linked to, I would say an acceleration of the CapEx because it's fair to say that in the COVID context it's not easy to as well be able to complete all the investments that we want to do. So they will be a part of catch up. But at the same time, there's an acceleration of our investment behind great priorities. It's both in terms of industrial investments, to maintenance, but as well to support the growth ambition we have mid to long term. So obviously, as well, in terms of IT with many things happening, not only behind digital transformation, which is already a very important topic, but as well in terms of cybersecurity and so on, so it's well spread, I would say. And your question in terms of is it a new norm? A bit early to say, I would say it's fair to assume that this could be a right way to look at our CapEx in the midterm and if we need to adjust that I will do so obviously.
Julia Massies: Thank you, Alexandre and thank you, Hélène. Thank you, ladies and gentlemen. Charlie and I are available to answer your remaining questions and we will look forward to meeting an increasing number of you face-to-face in our coming roadshow. In the meantime, I wish you all a good day. Please stay safe and enjoy view on-trade responsibly. Thank you.
Hélène de Tissot: Thank you.
Alexandre Ricard: Thank you.